Operator: Good day and welcome everyone. Thank you for joining us today for the 2016 First Quarter Conference Call to discuss Intellicheck Mobilisa’s results for the fiscal quarter ending March 31, 2016. My name is Kevin and I will be your operator today. In moment, I will call upon Intellicheck’s CEO Dr. Bill Roof, who will lead today’s call and introduce the members of the Intellicheck Mobilisa’s management team who will be participating in today’s conference call. Following management’s prepared remarks, we will open the call up for questions. Before I turn the call over to management, I would take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company or its management, as well as assumptions made by and information currently available to the company's management, identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs about future events. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements whether as a result of such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the heading of Risk Factors listed from time to time in the company's filings within the Securities and Exchange Commission. Management will use the financial term adjusted EBITDA in today’s call. Please refer to the company’s press release issued this morning for further definition of in context for use of this term. I would now like to introduce Dr. Bill Roof, Intellicheck Mobilisa's Chief Executive Officer. Dr. Roof?
William Roof: Thank you. Good day and welcome to the Intellicheck Mobilisa Q1 2016 earnings call. Today, we will present corporate earnings information for the quarter ending March 31, 2016. After our prepared remarks, we will answer questions from shareholders. Intellicheck Mobilisa directors and officers present on the call today are Admiral Mike Malone, Chairman; General Buck Bedard, Director; General Jack Davis, Director; Mr. Guy Smith, Director; Mr. Bill Georges, Director; Mr. Bill White, Chief Financial Officer; Mr. Bob Williamsen, Chief Revenue Officer; and myself. Our Chief Financial Officer, Bill White will now review the quarter ending March 31, 2016 financial results. Bill?
Bill White: Thank you, Bill, and a good day to our shareholders, guests and listeners. I’d like to discuss some of the financial information that was contained in our press release for the first quarter ending March 31, 2016, which we released this morning. We anticipate that our quarterly report on Form 10-Q will be filed with the SEC this afternoon. Revenue for the first quarter ending March 31, 2016 was $951,000 versus $987,000 for the previous year. The company booked orders for the three months ending March 31, 2016 increased by $343,000 to $1.134 million. Gross profit as a percentage of revenues was 82.8% for the quarter ending March 31, 2016, compared to 60.2% for the quarter ending March 31, 2015. The increase was attributable to reduced amortization costs along with a higher percentage of revenues coming from new SaaS model and lower equipment sales. Operating expenses, which consists of selling, general and administrative, and R&D expenses increased $1 million to $2.936 million for the three months ending March 31, 2016 from $1.922 million for the three months ending March 31, 2015. $555,000 of $1 million increase resulted from accelerated R&D efforts on two new products: our Retail ID Mobile product, which we announced this week, along with another product we will be announcing shortly. Remaining increase reflected prior non-cash stock-based compensation expense, legal fees and an early termination payment of the office of the Houston Port Council. Adjusted EBITDA for the quarter ending March 31, 2016 was a negative $1.744 million, compared to a negative $898,000 in the quarter ending March 31, 2015. The company posted a net loss of $2.143 million for the three months ending March 31, 2016, compared to a net loss of $1.302 million for the quarter ending March 31, 2015. As of March 31, 2016, our backlog, which represents non-cancelable sales orders for products yet not shipped and services to be performed, was approximately $161,000 from $292,000 at March 31, 2015. Interest income and expense were negligible for the two periods. And I’d like to now focus on the company’s liquidity and capital resources. As of March 31, 2016 the company had cash and cash equivalents of $4.1 million, working capital defined as turnouts, estimates and current vulnerabilities of $2.8 million and total assets of $16 million. Stockholders’ equity at March 31, 2016 was $13.4 million. During the three months ending March 31, 2016, the company used net cash of $1.879 million compared to generating $6.768 million for the three months ending March 31, 2015. The use of cash takes into consideration a stock repurchase of 979,114 shares of the company’s common stock for $1.97 million in March. Cash used by operating activities was $769,000 for the three months period ending March 31, 2016, compared to $707,000 for the same period last year. Net cash used in investing activities was $13,000 for the three months ending March 31, 2016 compared to $154,000 for the same period in 2015 and as previously noted we used cash of $1.97 million in financing activities in 2016 compared to generating $7.629 million in financing activities in 2015. On October 5, 2015, the Company entered into a two year revolving credit facility with Silicon Valley Bank secured by collateral accounts. The maximum borrowing under the facility is $2 million. At March 31, 2016, there were no outstanding borrowings under the facility. We currently anticipate that our available cash, as well as the expected cash from operations and available under our revolving credit facility will be sufficient to meet out anticipated working capital and capital expenditure requirements for the next 12 months. As of March 31, 2016 we had net operating loss carry forwards of approximately $2.2 million. I’ll now turn the discussion back over to Dr. William Roof, Chief Executive Officer.
William Roof: Thank you, Bill. Q1 2016 saw the company continue to implement our plan to renegotiate legacy deals, signed new customers, identify and execute agreements with channel partners, develop new products, grow our market share and pivot to sustain profitability. We believe that the strategy we planned and began implementing in 2015 is working. Our product identification and identification authentication markets are evolving and growing as we continue to build barriers to entry for potential competitors. In previous addresses to our shareholders, I focused on five main areas and talked about progress in each area; resources, markets, products, processes, and intellectual property. Resources, our new products developed in 2015 and in Q1 2016 are ready and we are expanding our sales force to deliver these products to our markets. Mr. Paul Fisher recently joined us in the role of Vice President Sales. Paul has deep connections in the retail and banking verticals and he is actively recruiting and hiring seasoned sales professionals right now. We vacated our ports, town and office and established a new cost effective office just north of Seattle nursing key customers and commercial air travel. Vacating the ports, town and office saved us $50,000 in news fees over the next 18 months and allowed us to renegotiate a legacy communications contract for our phone system that will save us approximately $60,000 a year. Markets, we have began to solidify agreements with channel marketing and sales partners both commercial and government. During our last earnings call I mentioned our white labeling strategy. We believe you will see this strategy working during Q2 of this year, so please watch for press release as we may issue. We are optimistic about our potential to reach large numbers of customers through managed channels and we will continue to grow these channels throughout the year. Our digital marketing metrics indicate that awareness of the company and their products is increasing throughout our markets. We see significant growth in website visits and an ever increasing number of visitors requesting to become customers on our business to business portal. We believe our enhanced online presence increases our sales efficiency and reduces our selling cost. We also believe that our strategic communications initiatives are creating much higher levels of band value, visibility, and market awareness. Many of you have commented on our recent media events in Atlanta, Georgia and in Mississippi. These are indicative of our products acceptance nationwide and of our enhanced access to the media and the corresponding support. We have positive media stories in Q1, resulting from our media strategy, press releases, and other outreach. Just recently, law and order magazine announced our Law ID products as a top must have public safety app for 2016. This along with our article describing the product has been terrific in raising product awareness in the law enforcement community. Products, our research and development cost for Q1 were unusually high. This is an anomaly and resulted from a number of business opportunities, as well as contractual obligations. We saw and seized the opportunity to generate revenues more quickly by rapidly developing two new products in Q1. A cause for developing these products was high, due to the compressed development schedule and we expect our return on investment to be realized more quickly in 2016 and if we have spread the cost over the year in subsequently recognized revenues in later quarters. One of these new products Retail ID Mobile will begin installation in two very prestigious department stores this month. We also had an unfunded obligation from a contact signed in Q3 2014 that record Intellicheck to provide new system integration services free of charge to this customer. Free services were a condition of the contract that generated revenues in Q3 2014, but lost money for the company overall. Our Q1 2016 bottom line cost of fulfilling this obligation is around $200,000. Our legal costs were also high in Q1. We filed for new patterns both in the U.S. and internationally, as well as for a number of new trademarks. We accumulated legal fees in support of the repurchase of nearly 1 million shares of Intellicheck stock, as well as one-time charge of $100,000 of terminating the 4,000 office lease saving 50,000 over the remaining lease term. We also incurred legal fees in the quarter in connection with certain litigation activities regarding our patents that I will discuss later. We also had significant proposal activity during the first quarter. In one instance, we submitted a proposal to one of the world’s largest defense companies that has identified opportunities to move our technology into international markets. We were the only company invited to submit a proposal and we are excited about the possibility of changing with this industry giant to expand our markets overseas. On Wednesday May 11, we announced the release of another new product, Retail ID Mobile. We developed and released Retail ID Mobile in response to our retail customer’s requirements for a fraud prevention solution that avoids the cost and expenditures associated with point of sale integration. Our customers need a solution that allows store personnel to move about and address customers in a warmer and a friendlier manner versus being separated by a check out panel. Because we feel ID Mobile can operate autonomously without the need to integrate with the customer’s point of sale systems, we expect our sales cycle and the retail vertical will compress and enable us to expose business more quickly. Moving to Law ID. Intellicheck Law ID enhances an officer situation of awareness by minimizing the loss of visual contact with an unknown person during field contact. With Law ID, we also simply scan to context ID barcode in the ID expensively authenticated on the officer’s mobile device. Clinical data fields that indicate the threat level are highlighted in red, yellow, and green and our visible at a glance. Having authenticated the context identity they also connect accordingly which can immediately deescalate a potentially time situation. Best of all, when the officer returns to the station, Intellicheck makes reporting faster and more accurate by populating standardized form fields from the data reprieved from the ID authentication and from the mobile devices reporting features including location, date time and weather information. Law ID instantly accesses critical authoritative data sources, increases officers and citizen safety, provides the officer with accurate relevant data at a glance and support more accurate reporting. We currently have agreements with number of law enforcement agencies from coast to coast and we are in the process of connecting to state law enforcement networks. Once connected to these networks that give us access to a variety of authoritative data sources we will begin installing Law ID at these agencies. Selling Age restricted products like alcohol and tobacco is a compliance challenge, the risks and cost associated with non-compliance are high and rising. Our Age ID product instantly authenticates identification documents such as driver licenses, so our retailers immediately know if the customers’ ID is fake. That reduces risks of non-compliance without slowing down the purchase transaction. Age ID works with mobile devices or integrates with existing point of sale solutions. With the ability to read more than 200 unique barcode formats from all U.S. States, Canadian provinces and many Mexican driver licenses. In addition to other U.S. government forms of identification, Age ID provides the most accurate and up to date solution. Age ID also offers regulatory compliance audit capabilities often needed by proprietors to demonstrate compliance with state regulations or to earn discounts from their liability insurers. Age ID is available as a subscription service or customized solution designs to meet our client specific needs. Our Age ID product is gaining traction with our intended market, as well as some new and previously unforeseen ways. We now see law enforcement officers from state down alcohol control bureaus and police department flying squads using Age ID to catch underage drinkers and those who sell to them. This is happening coast to coast in some of our nation’s largest cities. We’re pleased to support local government initiatives to curve under aged drinking and we are excite about the exposure OF Law ID as we see for the age of Age ID by law enforcement. We have modernized our infrastructure in business processes. We implemented a customer relationship management program through ERP software, moved our old metal servers to the cloud. This provides economies of scale, provides management with much needed data in an effort potentially running the business. Our infrastructure update initiative was critical through our objective of increasing revenues and we have now completed planned updates. Intellectual property, we are currently involved in a number of vigorous intellectual property defense initiatives. These include lawsuits filed, your claim space upon patent infringement as well as numerous actions at insurance that we are using our company name, trademarks and other intellectual property. We continue to be vigilant and protect our shareholders investments in company’s intellectual property. Since our last call, we have filed another new patent and we expect this will lay the foundation for new revenues in the short term. We look forward at the appropriate time to announcing the positive results for these efforts. In general, we continue to implement our strategy defined by our previously identified five pillars. Those being, one, to operate as efficiently and flexibly as possible; two, to focus on developing our key competencies in the world class product; three, to manage our product offerings with the goal of focusing on value and scalabilities to our customer base; four, to establish a position of market recognition and leadership based upon our core competencies and world class products; and five, to define, implement, enrich a culture that supports this transformation. We are excited and optimistic about our progress and expect our momentum to increase throughout 2016. The customers need and appreciate our products and services. We believe our decision to invest in our five key areas were correct and are beginning to generate the returns we expect. In summary, thank you very much for your attention today. Our outlook is optimistic and we look forward enthusiastically to 2016. I will now turn the call over to the operator who will take questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from Alex Silverman from AWM Investment Company. Please proceed with your question.
Alex Silverman: Hello gentlemen, how are you?
William Roof: We are fine, Alex. How are you?
Alex Silverman: Well, thank you. Given the margins that you guys generated, where there are one time benefits in there that help margins or are those just regular way margins?
Bill White: Hi, Alex, it’s Bill White. They are just a virtue of a product mix. We have lower equipment sales this quarter and that increased our margin.
Alex Silverman: So that takes me to my next question which is, can you help us with how much of that 950,000 of revenue came from SaaS products?
Bill White: SaaS products, the vast majority of the revenue came from those products.
Alex Silverman: So is it fair to say going forward that assuming you don’t have churn in this base 950,000 is at least a floor given that these are recurring revenue contracts?
Bill White: Alex, we don’t provide guidance.
Alex Silverman: Is that a fair way of thinking about it at least?
Bill White: It’s a fair way of thinking, Alex, yes.
Alex Silverman: Okay. So there is not - okay. Next question is, I apologize I missed, what were your booked orders in the quarter?
Bill White: Above 1.1 million.
Alex Silverman: Okay. And of those, can you help us about how much of that was SaaS?
William Roof: The majority, about 90% of that was SaaS.
Alex Silverman: Great. And what was the – just skipping around, what was the accelerated spend on R&D in the quarter?
Bill White: The R&D increase over last year was about 555,000.
Alex Silverman: And so was all of that increase related to trying to generate these two products in a timely fashion or was some of that a general increase in R&D?
Bill White: Hey, Alex, 200,000 of that was an unfunded mandate we have left over from 2014. We have to go to customer and we work for free for them which is entered into a contract. The other 350,000 roughly was mostly new product development.
Alex Silverman: Got it. Okay that’s helpful. And then in terms of – what is your headcount in terms of sales people at this point?
William Roof: I think we had to talk offline with you on that Alex. We are in the middle of hiring a number of people. I’m not sure they’ve accepted their offers yet.
Alex Silverman: Fully understood. And then the Retail ID press release you put out the other day that you are in trials with two department stores, can you give us a sense of what a trial is? Is it three months, is it a year, is it a full roll out or is it just a couple of test storage, how should we think about it?
William Roof: These trials are 60 day trials and then typically we’ll go into a number of stores. We’ll do a 60 day trial and then the roll out to the rest of the stores. Given the new products, the roll out is almost immediate. It doesn’t take any integration. So that’s one of the reasons we accelerated our R&D cost spending in Q1.
Operator: Thank you. Our next question is coming from Jim Kennedy from Marathon Capital. Please proceed with your question.
Jim Kennedy: Hi guys.
William Roof: Hi, Jim, how are you?
Jim Kennedy: Good, good. Bill, I wanted to just follow-up on the Retail ID line of question that Alex was pulling down, could you explain us a little bit more what that market looks like? I think we understand the Law ID and the Age ID. With Retail ID having announced two which I guess you described as permanent department stores, it’s just – can you describe how the product is used on the sales floor, is it a product that would be applicable to any retail environment regardless of size. So is it someone would say 400, 500 maybe 1,000 stores nationwide might be using in every store. Can you talk a little bit more about the market and how it’s being used?
William Roof: Sure, Jim. And I think we’ve got Bob Williamsen on line. Bob, do you want to address that?
Bob Williamsen: Sorry, about that. Yes, happy to address that. Hi, Jim, very good to speak with you, excellent questions. So in terms of the Retail ID market, how it’s used? Let’s start there first. Many of our retail customers including the department stores previously mentioned are dealing fraud issues. So people coming in and fraudulently applying for credit, their in-store or for credit card themselves. The other type of fraud that we see in the stores is they will come in and fraudulently try and do an account look up and say, I have an account, but I left my information at home, they’ll provide false credentials. The other form of fraud that we see is what is called [indiscernible] receded returns, where the customer literally walks into the store, goes to their customer service desk and says, I’ve got all those merchandise return, but I don’t have the receipt and then they try and return that product that’s because they perhaps a shop [indiscernible] at from another location. So those were kind of the three areas that we hear about from our retail partners. So the use case for them starts there. The other significant use case for them is then accelerating customers into their private label credit cards and their loyalty programs. So when they look at a department store, their primary objective is let’s deal with the fraud related issues and there’s been some – even with the EMP standards that have been implemented, there is some increasing pressure, increasing fraud numbers that we are hearing about. So these retailers have been highly motivated to move forward rapidly with Retail ID to get this fraud issue under control. But the secondary benefits are it’s a better customer experience and they can more quickly onboard customers into their credit card and royalty programs. So that’s kind of how it’s used. Did that make sense Jim?
Jim Kennedy : It does, it does. And is there some magic to a department store versus say, going into a mall where you’ve got 40, 60, 80 different outlets there?
William Roof : Yeah. So to the second part of your questions in terms of like store mix and that sort of thing, what we see there is it’s really a function of what’s taking place in those stores. So we try and segment it in buckets, you’ve got big department stores where they are applying for credit and you might have very significant spend and those fraud issues can be rather large. You also have a host of other retailers that have very large footprints, these are thousands of locations and they’re still putting in the loyalty program, they’re still putting in the entry credit cards, but the spend might be different, might be on a smaller order sale, but the volume and numbers are quite large. So we have retail customer – sorry go ahead.
Bob Williamsen: So in other words, it’s really the target market is any retailer that might be engaged in that type of activity.
William Roof : Potentially that’s exactly right. So we’ve look at and we then segment it. So retailer, you got the big department store retail is very important segment. And then, you’ve got the other retailers with large footprints that are doing significant volumes, but they’re trying to get more people signed up in their loyalty program. Thanks for beyond boarding of that process and again, they’re applying for credit and some of those locations might have thousands of retail stores. And then, when you look at the mall, for your question earlier about inside the malls, you’ve got all typical mall retailers. So like J-crew for example of clothing retailer. They’re one of our customers through one of our channel partners. And so, every J-crew right now is using our solution of a store, and it’s driven through channel partner. So when you look at the retail space, we bought prices and we’re going after those retailers and some of those instances directly. Certainly the big retailers, big box retailers another a big brand and in parallel to that, Jim, we’re also working with our financial partners who are in the space, who have either credit card relationships or other financial services relationship and very literally in some cases taking us right to the client. And in some cases, it is a tool that they buy from us and then they implement. So, we have a couple of different strategies to get to the marketplace, but the retail space is very large. Retail ID, mobile that Bill referred to this new release that we had earlier a week is an important next step because it greatly accelerates our ability to go live. So, a retailer who is interested to literally come to us and say we’d like to implement and we could literally have the live the next month in the matter of a week. If they’re using mobile devices anywhere in the store and we’re seeing more and more retailers do this. We can literally be pushing our solution, our apps out of those mobile devices that are live and maybe enjoying [ph] those fraud reduction benefits, instantly. So we think that’s very important. So we’re seeing a lot of traction and lot of interest in all those segments, and I just mentioned in our financial partners who are in the same channel.
Jim Kennedy : Now can I read into your earlier comment that a actual credit card issuer or a bank should also be very interested in what you’re doing if not partnering?
William Roof : Correct. That is correct.
Jim Kennedy : Okay. Hi, Bob if only I have you’re on the line, the switch over back to Age ID for a second. Is the strategy here I know we’ve thought little bit of that North Carolina in the past is the strategy here to tackle the ABC states first because they’re lo hanging fruit and if so, what is the strategy and where are we in tackling them?
Bob Williamsen: So, it’s the parallel path, clearly the total of 17 control space that we are targeting North Carolina we’ve already talk about it and we’re expanding there. We’re also actually in Idaho and then using that for a period of time, but our team is running a parallel path, the liquor control states and it’s not just the states themselves, but law enforcement boards, agencies that work for those liquor control boards who are then responsible to enforce the laws. So we’re running kind of a parallel path with Age ID to create exposure in those States and then the other avenue that we are tackling is what’s called on premise. So, liquor control space that’s off premise retail sales. So, coming to a liquor store, you want to buy a product, you need to verify your age, you buy, you head off-premise. The on-premise retailers are the big restaurants, the big boy out there selling alcohol right inside their locations and we’re starting to get very significant interest in that segment as well. And so we think that’s the – so that the liquor control state and the on-premise retailers for alcohol, we think are the next best avenues for Age ID.
Jim Kennedy: Does that on-premise include somebody like a grocery store that would sell beer and wine? Or that could set it on-premise?
Bob Williamsen: Well, that would be off-premise.
Jim Kennedy : Okay. And are they also a target market?
Bob Williamsen: Correct.
Jim Kennedy: Okay. Thanks, Bob. Hi, Bill, a quick question for you. I know you don’t want to talk about the number of sales people, but can you talk about the sales force strategy composition wise going forward? Is it going to be vertical or you’re hiring generalists, what’re you thinking are?
William Roof: We’re hiring both. So for example, we want our sales people who are in our commercial markets to be able to sell any of our commercial products. But for our laws, Law ID product, that requires a subject matter aspect. And so, we’ve got some people we’re looking at right now who have big backgrounds in law enforcement and in technology. The same thing goes for Defense ID, not a commercial product. We’re talking military. We got to be able to [indiscernible] and also know about the technology and understand force protection and counterterrorism and threat assessment and all that type of thing. So for our non-commercial products, we’re going to have subject matter experts, lot of focus on those areas and for our commercial products, we will spread those across everyone. Everyone will be able to sell our commercial products.
Jim Kennedy: Got you, okay. Congratulations on the progress. Thank you.
William Roof: Thanks, Jim.
Operator: Thank you. Our next question today is coming from Anthony Martize [ph], a Private Investor. Please proceed with your question.
Unidentified Analyst: Hi, good afternoon, guys. First of all, I’m going to thank you for having a lot of your Directors on the call. I think it’s unusual, but I think it’s great that Directors get an opportunity to not just listen to you, but to listen to questions from investor. So I want to thank you for doing that. A question for you, you earlier mentioned that you’re spending some money on -- I thought you said on some patents, but then you also followed that up by saying it would lead to near-term revenue opportunities. Could you expand on that, if you can?
William Roof: Yes, and this is very complex and I can’t get into it too deeply, but it’s tied in with the proposal we submitted to the defense contractor, one of the largest in the world, and part of this process was being able to license IP to them and that came into getting IP straightened out as they use that particular technology. So we expect something to happen relatively soon with this company and because we’re able to jump on getting that patents and that IP straightened out in Q1 that’s going to be very helpful to us.
Unidentified Analyst: Okay, great, and I appreciate that. Second and final question, I’m sort of – I’m new to the investment, I own stock and continue to buy stock. Question for you is, as you look out a year from now or two years from now where do you see potentially your largest markets – revenue was?
William Roof: Sure. We think we’re going to actually have a very nice revenue mix across our markets. And eventually retail is going to be very, very large and law enforcement is going to be very, very large. And because we have licensing agreements in place and this a software-as-a-service model, it should grow in annuity. And as we bring more customers on board, we continue to grow that annuity. All these markets are substantial that we’re going after and we dropped some products and we dropped some business areas from company last year because the markets weren’t there and we wanted to focus our energy on large markets. So retail, law enforcement, defense is still a large market for us and we are doing some really interesting things there. So it’s really hard to say right now, but they are all large.
Unidentified Analyst: Okay. And just one follow-up question to that, who is your competitor in each of these – the markets that you just mentioned where you think you’ll be strong over the next year or two? What’s the current competition look like in each of these markets?
William Roof: Much of the competition in these markets are people who are using our technology without our permission, without licensing from us and this has been a problem for years for this company. And if you’ve been following our press releases about patent infringement lawsuits and so forth, we are trying to take care of that and fix that and return that money to shareholders right now. We run into our own technology all over the place. We will see bids and they’re using our patents, violating our patents. So there are a few newer technologies out there where at least we’re playing a chess match right now, we are jumping ahead and we’ve got some new technologies that we are blending into our current mix. But mostly what we are running into is our stuff out there and it’s something that we’ve been working very hard to fix.
Unidentified Analyst: Great. Okay. Yeah, I guess, I think I read that your only exposure in terms of legal costs are on one litigation, is that correct? And the balance you are doing on a contingency basis?
William Roof: That’s correct.
Unidentified Analyst: Okay. And this quarter how much of that – how much of your expenses related to that particular litigation, where it’s on your dime?
William Roof: About roughly $200,000.
Unidentified Analyst: Okay. And do you anticipate that – how much longer do you anticipate that number to – is this something that you can repeat over the next several quarters?
William Roof: No, that was a one-time hit. Our legal fees are way, way down now. So Q1 was an anomaly in both R&D expenses and in legal expenses and things are back to normal now. It was important to get this initial infringement case into the courts and get some rulings from judges. The validity of our patents and so forth and we have that now. And most of our claims have been upheld. So we are moving forward with the other cases and that was part of our strategy.
Unidentified Analyst: Yeah, I guess the only negative is that I follow this with other companies, unfortunately, it seems as though most settlements that take place, take place at the courtroom steps. So, I see very few instances where people settle way in advance of an actual court date. Unfortunately, you have attorneys whose vested interest is to keep this going especially if you are suing larger entity. So hopefully you will get some satisfaction earlier rather than later, but I suspect that, in most cases, you are going to be at the courtroom steps before you see any real satisfaction.
William Roof: That’s pretty true, Antony. But we’ve got some great attorneys, we are suing the – the test case is a very small company and the larger companies are on contingency basis. So those attorneys are anxious to get those cases over with, they are not – they don’t want to spend their own money. But we think the strategy was correct and it appears to be working.
Unidentified Analyst: Great. All right. Congratulations. Look – for what it’s worth, the stock today is just, in my opinion, incredibly cheap and you’ve got today a $16 million market cap less your cash, given the markets you are looking at, I think, the markets – I think all you need is a little bit of sustained profitability and I think the markets will revalue the company significantly higher than where it stands today, so it’s just my opinion.
William Roof: Well, thank you, Anthony. We believe the same thing and we are working very, very hard to make it happen. So we appreciate you asking question today.
Operator: Thank you. We’ve reached the end of our question-and-answer session. I’d like to turn the floor back over to management for any further or closing comments.
William Roof: Thank you once again for joining us today for the Q1 2016 earnings call. We look forward to our next quarter. And please keep an eye on our press releases, we believe that we are going to have some interesting information to report to you very soon. Thank you very much.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.